Operator: Good evening and welcome to the Texas Roadhouse First Quarter Earnings Conference Call. Today’s call is being recorded. [Operator Instructions] I would now like to introduce Michael Bailen, Head of Investor Relations for Texas Roadhouse. You may begin your conference.
Michael Bailen: Thank you, Brianna and good evening. By now, you should have access to our earnings release for the first quarter ended March 28, 2023. It may also be found on our website at texasroadhouse.com in the Investors section. I would like to remind everyone that part of our discussion today will include forward-looking statements. These statements are not guarantees of future performance and therefore undue reliance should not be placed upon them. We refer all of you to our earnings release in our recent filings with the SEC. These documents provide a more detailed discussion of the relevant factors that could cause actual results to differ materially from those forward-looking statements. In addition, we may refer to non-GAAP measures. If applicable, reconciliations of the non-GAAP measures to the GAAP information can be found in our earnings release. On the call with me today is Jerry Morgan, Chief Executive Officer of Texas Roadhouse. Following the prepared remarks, we will be available to answer your questions. In order to accommodate everyone that would like to ask a question, we kindly ask analysts to please limit yourself to one question. Now, I would like to turn the call over to Jerry.
Jerry Morgan: Thanks, Michael and good evening to everyone. As many of you know, we just returned from our managing partner conference, where we celebrated our 30-year anniversary with our operators. While we took some time to honor our past, our conference messaging was focused on our future, which will continue to be shaped by staying true to our values and our mission of legendary food and legendary service. Our operator’s commitment to our mission was evident during the first quarter, which was highlighted by record guest counts and double-digit increases in both same-store sales and earnings. And during the first quarter, our restaurants averaged $148,000 in weekly sales, including more than $19,000 in to-go sales. We are still seeing improvement in year-over-year staffing levels, thanks to our hiring, training and retention efforts. Increased staffing levels allow us to continue to our top line momentum and also focus on maintaining our high food quality standards and delivering a legendary guest experience. On the cost side of the business, inflationary pressures are mostly in line with our projections and commodities are performing as we expected. The tightening cattle supply is keeping beef prices elevated, while we are experiencing some moderating inflation in other areas of our overall basket. And on the labor side, wage pressure has been persistent as it remains a competitive hiring environment. As for the first quarter development, we opened 4 company-owned Texas Roadhouses and 2 company-owned Jaggers, in addition, 1 international franchise restaurant opened in the Philippines. We also completed the acquisition of 8 franchise restaurants located in Maryland and Delaware at the beginning of the first quarter. At this time, we continue to expect to open 25 to 30 company-owned Texas Roadhouse and Bubba’s 33 restaurants this year as well as 3 company-owned Jaggers. Our franchise partners are on track to open approximately 10 international and domestic restaurants, including 2 Jaggers. We also continue to invest in technology to improve both our operations and the guest experience. Roadhouse Pay, which is our pay at the table system, has now been rolled out company wide. In addition to the guests convenience during the check and change period, Roadhouse Pay also allows us to sell and redeem cards, gift cards and promote sign-ups for our VIP loyalty club. Additionally, we are having great success with our digital kitchen and improving cook times, order accuracy and other operational efficiencies. The majority of our openings this year will include a digital kitchen system and we continue to convert some existing restaurants to the digital format. On capital allocation, our strong cash flow generation during the quarter allowed us to grow our dividend by 20%, continuing repurchasing of shares, and further strengthen our capital position by repaying the remainder of our debt. Importantly, these actions were taken together with our reinvestment in the business as we spent over $100 million on capital expenditures and franchise restaurant acquisitions. Overall, we believe our ability to reinvest in the business, our strong balance sheet and our disciplined capital allocation strategy all create a competitive advantage, which will allow us to generate long-term shareholder returns. Finally, I want to give a huge shout out to Brad Apgar, our 2022 Managing Partner of the Year from College Station, Texas. We also named Rob Hall of Colorado Springs, Colorado, our first ever Bubba’s 33 Managing Partner of the Year. I want to congratulate Brad and Rob as well as all the finalists from both concepts for their accomplishments in 2022. And I also want to congratulate Daniel Rivera of Covington, Louisiana, for being named our 2022 Meat Cutter Champion and Steve Zero for being named our Support Center Roadie of the Year. Our conference is a time to celebrate our successes, recognize our top performers, focus on the future and just as importantly, have some fun. After spending a week with our operators, I can tell you that we have already all returned home energized and ready for the remainder of 2023. Now, Michael will walk you through our financial update.
Michael Bailen: Thanks, Jerry. For the first quarter of 2023, revenue grew 18.9% driven by a 12.5% increase in average unit volume and 6% store week growth. Restaurant margin dollars grew 15.2% to $185.7 million, while earnings per share increased 18.4% to $1.28 per diluted share. Comparable sales increased 12.9% in the first quarter, driven by 7.6% traffic growth and a 5.3% increase in average check. By month, comparable sales grew 20.1%, 10.6%, and 9.3% for our January, February and March periods respectively. And for the first 5 weeks of the second quarter, weekly sales averaged over $145,000 with comparable sales up 8.6%. This includes the benefit of the 2.2% menu price increase that we took at the beginning of the second quarter. For the first quarter, restaurant margin as a percentage of total sales decreased 53 basis points to 15.9%. However, restaurant margin dollars per store week, which we believe is a more relevant metric for us, were up 8.7% and hit an all-time high of over $23,500. Food and beverage cost as a percentage of total sales were 35.2% for the first quarter. This was 78 basis points higher than 2022 driven by 8.9% commodity inflation. As Jerry mentioned, commodity costs have been in line with our expectations so far this year. With approximately 75% of the overall basket locked for Q2 and approximately 40% locked in the back half of the year, our full year guidance for commodities remains unchanged at 5% to 6%. As a reminder, we continue to expect the rate of year-over-year inflation to moderate as we moved through the year. Therefore, second quarter inflation should decline sequentially, but still be above our full year guidance. Labor as a percentage of total sales increased 23 basis points to 33% as compared to the first quarter of 2022. Labor dollars per store week increased 13.1%, primarily due to wage and other labor inflation of 8% and growth in hours of 4.8%. Similar to commodities, we expect that the level of labor inflation to moderate as we move through the year. At this time, our full year 2023 guidance of wage and other labor inflation between 5% and 6% remains unchanged, but current trends would put us closer to the high-end of that range. Other operating costs were 14.3% of sales which was 35 basis points lower as compared to the first quarter of 2022. Most of the year-over-year benefit comes from sales leverage due to higher average unit volumes. Moving below restaurant margin, G&A grew year-over-year by 23.8% and came in at 4.2% of revenue. The majority of the $9.6 million increase in year-over-year G&A expense was driven by higher compensation expense, including approximately $2.6 million of one-time cost. Our effective tax rate for the quarter was 13.9% and we continue to expect a full year 2023 income tax rate of approximately 14%. Lastly, with regards to the cash flow, we ended the first quarter with $156 million of cash. Cash flow from operations was $189 million. This was more than offset by $67 million of capital expenditures, $37 million of dividend payments, $50 million of debt repayment, $10 million of share repurchases and $39 million acquisition of 8 franchise restaurants. Our expectation for full year 2023 capital expenditures remains approximately $265 million. Now, I will turn the call back over to Jerry for final comments.
Jerry Morgan: Thanks, Michael. I want to close the call by thanking the 85,000 plus roadies, who keep our mission alive each and every shift as well as our vendors who have been key partners in our success. I also want to thank our loyal guests, who continue to support our restaurants and allow us to provide them with legendary food and legendary service. Given our industry leading operational performance and strong balance sheet, we have a lot of flexibility at our disposal to create shareholder value in the future. Speaking of the future, the theme of our recent conference was just getting started. I could promise you that while we will always honor and celebrate our history, we feel like we are just getting started on riding our future. That concludes our prepared remarks. Operator, please open the line for questions.
Operator: Thank you, Mr. Morgan. [Operator Instructions] Your first question comes from Joshua Long with Stephens. Your line is open.
Joshua Long: Great. Thank you for taking my questions. I was curious if you could talk about some of the initiatives at the store level that helped drive the strong traffic during the quarter. Obviously, legendary food, legendary service resonates well with your guests. But curious if some of the menu initiatives or maybe other focus points have allowed you to broaden your reach as value and can balancing that overall experiential component that you are well-known for starts to resonate with a broader set of guests going forward? Thank you.
Jerry Morgan: Yes. Thank you, Joshua. I believe that our focus on executing a great shift will always be and as we have been able to hire and train and get staffed up and more about the retention of our people as they get more experienced and more reps on running shifts and whether it be front of the house or back of the house. I just believe that really and truly it comes down to our ability to execute to get people in, get them the experience that they are looking for and thank them for coming and joining our business that night is the real focus. We are very much on target for that. Getting staff is a key component to our continued top line success. Thank you.
Operator: Your next question comes from David Palmer with Evercore ISI. Your line is open.
David Palmer: Thanks. Good evening. Jerry, I know you are committed to that long-term framework of margins being in the 17% to 18% range, but I am trying to think through how you might get there. Obviously, we are in a beef cycle and we are going to be probably dealing with above average stake inflation for the next couple of years. Given that, that’s the case, I am wondering, we might just be stuck a little bit below that range for a while and that’s fine. But I am wondering if there is other offsets you think could happen or that you think or maybe happening internally that could make you get there with even an inflationary environment like we are likely to see? Thank you.
Jerry Morgan: Yes, thanks, David. We are always looking at how to get back to that point. We have made some progress I think from Q4 to Q1. Although we still have some improvements to do, the labor inflation, we know what it’s looking like going into the rest of the year. Beef inflation, Michael can talk to and a little bit that is kind of holding up in that area, that’s a little higher, but we hope that our digital technology is teaching us to be a little faster when we expedite our food through the kitchen. Roadhouse Pay is definitely another enhancement to the service level and maybe even a little bit of the speeding of a table turn. So, we have several things that are doing to allow us to continue to elevate how many guests we can get through the building in any given day, which as obviously the inflationary pressures settle will help us get back to that. We are excited about our restaurant margin dollars and our top line continues to really do extremely well for us. So we are going to have to continue to focus on the efficiencies of the business and look in what we can learn going forward.
David Palmer: Thank you.
Operator: Thank you. Your next question comes from Brian Towsen with Morgan Stanley. Your line is open.
Brian Towsen: Yes, hi there. Good evening. Could you elaborate on that, Jerry? Is there anything you could say about the stores that have Roadhouse Pay? Have you in fact measured kind of faster table turns? And then like with the digital kitchens, for example, have you seen faster throughput there? I am just curious about some of the specific things you observed as you put some of these technology initiatives in place?
Jerry Morgan: Yes. On the Roadhouse Pay, there is no doubt that in our opinion the guests can pay at their convenience. So if they are in a hurry, they are not waiting on anyone to come do their check and change. It is on the table. It is readily available. We have gotten great feedback not only from the guest, but from our operators. So, we absolutely believe that the guests that want to get in and out they definitely have the ability to execute that on their own. On the digital kitchen, we have 4 up and running currently. We had two new store openings and we converted to. And like we said this year, it looks like we will do all of the new store openings approximately 20 or more and then 10 conversions. And all the indicators right now, Brian, are that we are going to see our food hitting the window in a timely manner, which should save us time, all of the indications right now. And it’s very early that it should save us some minutes. And if we can do that, then that can really help us and our power hours might even turn the restaurant another half the time to a whole time. So, that’s what we are seeing. The efficiencies on the back of the house side of a digital kitchen is more about the production seats and how we do some of that, but the technology from what we are seeing right now is very encouraging as to how it will help us be more efficient business overall when it comes to getting our food from the kitchen.
Brian Towson: Thank you.
Jerry Morgan: Thank you.
Operator: Your next question comes from Peter Saleh with BTIG. Your line is open.
Peter Saleh: Great. Thanks for taking the question and congrats on the quarter. I just want to ask about just the consumer behavior in general. I think over the past quarter or two there was some negative mix you guys were seeing in the numbers, maybe soft drinks up, alcohol down. Has there been any change in consumer behavior and how they are spending or using your menu? Are they trading down at all trading up at all? Just any details around that would be helpful? Thank you.
Michael Bailen: Hi, Peter. It’s Michael. Thanks for the question. I think a lot of the trends that we were starting to see in February and March have certainly continued into April. I am not really seeing a change in that, but during that time period, we have seen that alcohol mix has remained negative – again steadily negative, not going further and we are still seeing some negative mix in that entrée category, which can be a few things. There is certainly some guests who maybe doing a little bit of check management. But as I also mentioned on the previous call, I think we are seeing new guests coming into Texas Roadhouse and maybe starting at the lower on the value side of the menu. So, it is held very steady. I don’t think it has anything to do with our menu pricing or the menu price increases that we have taken, because we’ve seen no change during that period. And certainly, our guest’s volumes tell us that people still want to be at Roadhouse. But we’ve seen maybe a little bit of trade down. But I’ll end with a comment our mixing still extremely positive relative to pre pandemic levels. So, we might just be giving a little bit back now that people are watching their pocketbook a little bit more.
Peter Saleh: Thank you.
Operator: Your next question comes from Jeffrey Bernstein with Barclays. Your line is open.
Jeffrey Bernstein: Great, thank you. The question on beef and the related potential pricing, just wondering if you can give a little bit more color on what you’re locked in specifically on beef, as we look to the rest of the year. I feel like in past cycles, maybe management was not keen to take price to mitigate because we know beef goes up and down and price was really more reserved to offset structural, more labor type inflation. So I’m wondering if that’s still the sentiment if as was raised earlier, maybe we should just assume in the short-term that you won’t necessarily price to fully offset it and let the margins take a hit so that you can kind of maintain your industry leading traffic, just trying to get a sense for whether that thesis is unchanged, and specifically around the beef what the outlook is for the rest of this year? Thank you.
Michael Bailen: Hey, Jeff, thanks for the question. It’s Michael, I think your thesis is pretty on point, we’re not going to get into the specifics of what percent of our beef is locked or is not locked. But it’s fair to assume with half of our basket being beef that our overall commodity lock has to be somewhat in-line with what our beef is, I’ll tell you, our outlook for beef has really not changed, since the last time we spoke to you all, we do think it will drive the majority of our inflation for 2023. And that other items in the basket will see their inflation moderate to bring our overall inflation down. On the last point you brought up about menu pricing, that is still the way we think about it, we price for the structural component of inflation, which tends to be wage inflation. And we don’t tend to overreact in price for the cyclical items like commodities beef will probably be inflationary for a period of time. But like I said, we’re feeling some offsetting deflation in other areas. And we will focus first and foremost on the guest and driving more people into the restaurant. But we will look at menu pricing again later this year. And I would assume we will do something in that October period like we have done in the past.
Jeffrey Bernstein: Thank you.
Operator: Your next question comes from David Tarantino with Baird. Your line is open.
David Tarantino: Hi, good afternoon. My questions related to the margin performance. And I guess when I step back and look at the strength in your traffic trends and your overall sales trends, it’s a little bit surprising that we’re not seeing leverage on labor. And I appreciate you have inflation. But I guess the question is what would it take to get leverage on the labor line? Given that when traffic increases, it tends to add hours and lean and on execution? So, I guess what do we need to see leverage come to fruition on that line?
Michael Bailen: Yes, thanks for the question, David. It’s Michael. I think we will need to see some of that wage inflation moderate. I mean, the math would say if we have – if we’re guiding to 5% to 6% wage and other labor inflation and we said we’re probably going to be on the high end of that. So, if we have 6% for the year and our menu pricing is below that overall number, then you need to see some – you certainly would need traffic which helps us some extent with traffic comes the need for more staffing. So that’s why your weird set or on our last call that first half of the year would not expect to be seeing leverage on that labor line. And we will see what happens in the back half of the year, we’re still learning what that kind of algorithm will be – do labor hours grow at 50% of traffic or do something else happen there. So things so to learn there to determine what kind of leverage you might be able to get, but again, seeing that wage pressure moderate would certainly be a big component that we would need to see.
David Tarantino: Thank you.
Operator: Your next question comes from Sara Senatore with Bank of America. Your line is open.
Sara Senatore: Thank you so much. Just I guess a housekeeping question and then a follow-up. First on the housekeeping. I know, you mentioned 2.2 points of menu price, I just wanted to make sure I was understanding what that meant year-over-year is that sort of in that 6% range in terms of year-over-year pricing, as I tried to think through the margin compression in terms of inflation relative to price increases. So that’s just the housekeeping. And then I guess, in terms of the components traffic seem to have accelerated pretty meaningfully. And candidly I know, we might not be talking about versus pre-COVID anymore. But on any sort of stack comparison, are you seeing any underlying change in demand, whether it’s different cohorts are the relative value proposition being stronger, just trying to sort of understand again, this very strong traffic number in the context of the environment with the caveat that I know, multi-year comparisons to vary. Thanks.
Michael Bailen: Yes. Thanks, Sara. Michael. First one, your question about pricing, I think what you’re asking is, what will pricing look like by quarter, for the second quarter, we will have 5.6% pricing on the menu. But I will mention that given the timing of when pricing was taken last year, and when it was taken this year, the five weeks that we have given you a same store sales number one had about 6.2% pricing in it, and the last 8 weeks of the quarter will have about 5.2% pricing and then that gets you to the 5.6% for the full quarter. And then Q3, will have 5.1% pricing. And before we take anything else in October, we would only have 2.9% in the fourth quarter of 2023. So that’s the cadence of pricing for the year. As far as traffic I think our traffic trends have been very, very healthy. And continue to look very strong when you look at them on a multi-year basis or year-over-year basis. And I think that again, goes to us, the way we operate the business and making sure we are staff to serve the demand that is out there. And we are careful on those menu prices. And we are seeing a little bit of negative mix in the entree category, which I believe is showing that some guests are maybe trading into us who were not casual dining guests on a regular basis before and in are coming in at some of our value items. So I think we are continuing to gain new guests in this high cost environment and our traffic trends are feeling the benefit of that.
Sara Senatore: Thank you very much.
Operator: Your next question comes from Dennis Geiger with UBS. Your line is open.
Dennis Geiger: Thank you. I want to ask about full year expectations for restaurant margins, which I think last quarter, you said you could see the margin percentage improvement, I think, year-over-year. Just curious, any update to that. And then also if there’s any update to those assumptions that you’ve got internally, maybe labor, maybe it’s at the upper end of the range. The range is sort of on change though, anything with hours. Any components of that may have changed if you’re able to just touch on that high level. Thank you.
Michael Bailen: Yes, hey, Den, this is Michael. I really don’t think much has changed since we last spoke. I do think some of it will depend where we are on those guidance ranges that we talked about, some of that will depend upon your assumptions for top line performance on traffic. And what mix might look like. But I do think we continue to have opportunity on the – from the margin percent line to see some improvement, I think you will see the most opportunity for year-over-year leverage on those margin percents in the back half of the year, and probably the fourth quarter having the most opportunity there for that. But again, some of that has to do with your personal decisions on top line growth. And just like we said though, the last call, I think the other operating is your biggest opportunity to see some leverage, as we saw that in Q1. And again, that cost of sales as we move through the year and see moderating levels of inflation and put that up against the pricing, we just talked about that should start to see some benefit in the back half of the year, that just the pure math would say you’re going to see some benefit on a cost of sales line.
Dennis Geiger: Very helpful. Thanks, Michael.
Operator: Your next question comes from Jeff farmer with Gordon Haskett. Your line is open.
Jeff farmer: Thank you. You guys, in recent quarters have reported seeing little if any uptick in any type of promotional activity or discounting across the segment. A couple of your peers have gotten a little bit more aggressive with promotions, some TV advertising, but what do you see? And I know that broader casual dining is not exactly sort of head-to-head with steakhouse. But from your perspective, your most relevant competitors. Have you seen it continued rational behavior as relates to promotions?
Jerry Morgan: Yes, I mean, on their side, obviously, they’re being pretty aggressive out there. We don’t technically get into that, we focused on our early dine communication within our local communities and allowed West Wednesday is one of those promotions that we do to kind of give folks a little bit of a break on that Wednesday. But those are really the two things that we focus on early dine communication. And we do a lot of that in our local store community. We have our local store marketers that are out there and work in the communities, and really just letting them know that we’re present. And we’re available to serve them. And here’s what some discounting that we do. And it’s all been very consistent over the years with our early dine messaging and about 15 of our menu items that are discounted a little bit for that early side and then Wild West Wednesday, but from a seasonal trend for us things seem to be going pretty according to normal from that standpoint.
Jeff farmer: Okay. Thank you.
Jerry Morgan: Thank you.
Operator: Your next question comes from Jon Tower with Citi. Your line is open.
Jon Tower: Great, thanks. I guess, I’ll ask on the supply environment or real estate side of the business. Curious if you’re seeing any sort of changes in the backdrop given some of the noise that we’re seeing, certainly in the lending environment, and some of the regional banks, is that translating yet into perhaps any availability of sites that you might have looked at previously and weren’t unavailable because of others coming in. And now they’re opening up your discussions with landlords. And then the other follow-up question I have is, can you just tell us what that $2.6 million charge was in G&A in the quarter? Thanks.
Jerry Morgan: Yes, no problem. The real estate pipeline, I think, with all of that stuff happening recently hasn’t changed or affected us in any way at this time depending on where it all goes, but where business as usual. We’ve got our processes on picking real estate of, if somebody comes to us with a deal, we will definitely – we’re going to entertain any at all. But we’ve got a pipeline for 2.5 years deep on real estate that we’re working at different levels all through the system. The $2.6 million was a one-time executive payout.
Jon Tower: Got it. Thank you.
Jerry Morgan: Thank you, Jon.
Operator: Your next question comes from [indiscernible]. Your line is open.
Unidentified Analyst: Great. Thanks. I had a just a point of clarification. And then a question of Bubba’s, Michael, I apologize if I missed it, but did you say why the company expects wage inflation to ease? And then Jerry, I wanted to ask about Bubba’s future growth. It looks like the volumes at newer locations are well below Roadhouse and the investment. I think it’s been at least a $0.5 million higher than Roadhouse. So, on the surface, it would seem better to allocate all the capital to Roadhouse development. So I’d love to hear how you’re assessing Bubba’s future potential and how you’re thinking about capital allocation above us?
Michael Bailen: Yes. Hey, Chris Lee. I will answer that that first question on wages and then hand it over to Jerry. Yes, we do expect wage inflation to moderate. Again, a lot of the wage pressure that we are feeling this year has to do with hiring people from last year or giving raises last year that have to flow through the system for 12 months. So there is – that is a big component of the wage inflation. There is obviously state mandated increases that we took at the beginning of this year, but just the rate of increase that we are seeing, has certainly slowed from what we were seeing last year as it pertains to average wage rates. So as we are moving further into the lap of last year, we just expect that wage pressure to abate.
Jerry Morgan: And then Chris on Bubba’s growth, I will tell you in the last 18 months we have made some leadership changes and adjustments to the strategy of how we do that and we have really put the right people in place first and foremost and we are seeing the fruits of that labor in the new store openings. And as we got our – I think our very first one for the year we will be opening in Avon here in a couple of weeks. But so we are excited about that. Obviously, the Roadhouse focus has been 20 to 25 a year. We know what we have there. We have had a lot of success, very consistent performance for over 30 years and that’s very exciting. We are all in on Bubba’s. We have got great food there. We have got a great energy and environment and ambiance that really does fit with what we are trying to accomplish. We have got some cost out of the building. I think that will flow through eventually as some of the construction costs come down and we are holding – we have done some things on our end to bring that down. But we would like to get, it may take us another 24 to 36 months, but we will eventually get Bubba’s growing at 10 plus and feel very good about the responsibility to the investment there.
Unidentified Analyst: Thanks.
Jerry Morgan: Thank you.
Operator: Your next question comes from Lauren Silberman with Credit Suisse. Your line is open.
Lauren Silberman: Thank you. So I just wanted to ask about monthly comps, they decelerated through the quarter. I think you said 20.1% in January to 9.3% in March. Can you just help us unpack what you saw throughout the quarter and what might have been the driver of this step down as it just compares or anything else? Thank you.
Michael Bailen: Yes, Lauren, it’s Michael. Yes, I really do think a lot of it is compares, because again our sales volumes grew as we move through the quarter and even into April. So obviously, the lapping of Omicron early in January cause that outsized January percentage increase. But when I look at it on a multiyear basis, which also has noise in it, you really don’t see a slowdown in there. So again, I do think it’s the comparisons and certainly, we are not feeling like we are seeing a slowdown in the number of guests wanting to come to Texas Roadhouse.
Lauren Silberman: Great. Thank you.
Operator: Your next question comes from Brian Vaccaro with Raymond James. Your line is open.
Brian Vaccaro: Thanks and good evening, guys. Two quick ones for me. Just on G&A came in quite a bit higher than we were thinking could you help us put some guardrails on your annual expectations there and how much should we pencil in for the GM conference in the second quarter?
Michael Bailen: Hi, Brian. Yes, I can talk a little bit about the G&A. Obviously, again, G&A performing kind of how we described at the end of the last quarter, where this was a year, where we expected the G&A dollars may grow at a faster rate than what revenue grows. And therefore, we may see as a percentage of revenue giving a little bit back on G&A and that is what we saw in the first quarter. We would not have maybe seen that if we didn’t have the one-time cost in there. I think exclude – we will come back to the conference here in a second. I think the level of G&A you are seeing in the first quarter is probably in the right ballpark of what you may could potentially see as we move through the remainder of the year. And with regards to conference, we are not going to get at into a specific number as to the conference, but it will have – it will be a little bit elevated as compared to the charges that we took in the second quarter of last year. So I would expect Q2 to be a little bit higher than Q1.
Brian Vaccaro: Alright. Thanks for that. And then if I could just quickly circle back on the other backs [ph] line, if my math is right, it looks like cost per week up almost 10% year-on-year. Just are there any one-timers worth highlighting in that line? And if not, could you elaborate rate on any new areas of pressure you might be seeing or an update on what you are seeing in terms of utilities and R&M? Is there any light at the end of the tunnel that we might start to lab some of those and inflation could moderate? Thank you.
Michael Bailen: Yes. Brian, it’s Michael again. Operating those that growth in dollar for storage, I believe we saw a slowdown in that as compared to what it did in Q4 of last year versus the prior year. And I think we may see – have the potential to see some continued slowdown. Again, this first quarter lapping the unusual illness of Omicron from last year, so there was, with the volumes that we were doing on the top line, you would expect to see some larger growth in the other operating category. Not seeing a ton of relief on many items at this point, but not seeing a big step up on items. And that was kind of what we were expecting to happen. So, utilities haven’t started to move in our favor as of yet. Maybe that does happen as we move through the year. And maybe we see some relief in some other areas. But right now, again, I think the leverage that we got on the other operating is coming because of the traffic volumes that were – that we have been able to generate and the overall AUVs that we have.
Brian Vaccaro: Alright. Thank you very much.
Operator: Your next question comes from Andrew Strelzik with Bank of Montreal. Your line is open.
Andrew Strelzik: Hey. Good afternoon. Thanks for taking the questions. I was just hoping that you could maybe help us understand a little bit better where you are seeing the strong growth within the week or you spoke about maybe some of the earlier indications. Is there anything that stands out really driving that growth? And then relatedly, you have seen some small declines in the off-premise on an average weekly sales basis. Do you think those folks are going back into dine-in or and I know you thought that those were kind of distinct customers, but curious if you think you are seeing that trend back into dine-in? Thanks.
Jerry Morgan: Yes. I am sorry, Andrew, can you repeat the first part of the question, real quick for me. I apologize. You are still there?
Andrew Strelzik: Yes, sure. Yes, absolutely. So, where are you really seeing the growth? Is it in peak weekend or is it during the week? Is it earlier? Yes.
Michael Bailen: Right, appreciate that. It’s Michael. As I look at it, we are seeing growth, seven days a week. We are seeing it, early in the day. We are seeing it late at night. We are seeing it during our power hours. So, really strong growth throughout all days of the week, maybe it’s a little bit stronger on weekends, on a percentage basis, but very pleased to see that it’s coming across the board, which I think that’s guests learning where there is opportunity to get into a Texas Roadhouse and managing their schedules there. As far as the decline into go, yes, on a percentage basis, but that is largely due to the increase in our dining room visits and our dining room sales. We still did over $19,000 per store week and to go sales in Q1, which was only down a few hundred dollars versus Q1 of last year. And probably some of those guests are now coming into the dining room and dining with us. It would not surprise me to be seeing that.
Operator: Your next question comes from Andy Barish with Jefferies. Your line is open.
Andy Barish: Hey guys. Just a couple of housekeeping and maybe an operational question, just Michael on the G&A guide there, are you including the 2.61x, I mean obviously on an annualized basis, that would be an additional $10 million or so to be G&A?
Michael Bailen: I think you could probably take that out and then make it, be more in line. Again, we will see what – where the actual G&A comes in. But typically, I think it’s fair to assume if you strip that out, then that would be the more comparable number to use as you move through the year.
Andy Barish: Yes. Just wanted to make sure and then did April have some of the volatility around calendar spring breaks in some of your markets that we have heard from others, and how does average weekly sales seasonality usually progress from, the 145 in April to May and June?
Michael Bailen: Yes. I mean there may have been some seasonal movements from week-to-week in those April numbers. But we still saw strength, overall strength throughout the month. And so it’s not that we were strong early on, and then things fell off, or vice versa. So, there were there were mismatches, but I still felt like we saw strength throughout, if you typically now moving, obviously April tends to be a very strong month for us. And then your May can be a strong month as well, with Mother’s Day, June, July, August, even into September, those summer months, we see the seasonality come in, and maybe our volumes are a little bit lower than what you would see early in the year. And then they begin to climb back up into the fall in winter months.
Andy Barish: Very helpful. And then Jerry, on the labor hour increases, I am assuming that’s both, back at house, and front, are there some things you can look at in terms of I know that kind of the KDS, that you are looking at anything equipment wise, or changes in the back that may help as well?
Jerry Morgan: Andy, how you doing? Yes. I think we are looking at every component as to how to become more efficient. The number one thing is being fully staffed and really holding on to our people and keeping that tenure, so their productivity really increases. And maybe you can use a less component on a prep or that because of their efficiency. So, we will continue to look at that, as we have really ramped back up our staffing. Our component is a heavy staffing. We have made from scratch food, homemade, obviously, from that side of it, we have a lot of commitment to legendary food and legendary service and as the more experienced that they get, the more efficient and productive they can be. And we should see that continue to pay dividends for us as we have invested heavily over the last couple of years to get to that level that we really want to be executing at a high level always. And that is obviously driving our top line mentality and the way we have been able to conduct business for a large portion of our time in the business.
Andy Barish: Thank you very much.
Jerry Morgan: Thank you.
Operator: Your next question comes from Jim Sanderson with Northcoast Research. Your line is open.
Jim Sanderson: Thanks for the question. I wanted to go back to labor, just to make sure I understand the incremental or the growth in labor hours reported in the first quarter, is that a rate that will continue, it’s going to be a little bit higher than you would typically see as you get to a recovery phase relative to last year in COVID disruptions, the 5%?
Michael Bailen: Yes. Hey, Jim. This is Michael, I would say Q1 is the anomaly with again, one the lapping of Omicron and our staffing levels in 20 went through lowest in Q1 of last year, specifically early in the quarter. So, I think your biggest guests hour – I am sorry, labor hours growth was in that Q1. But I would also point out you aren’t, that 4.8% traffic goes along with – 4.8% labor hour growth goes along with 7.6% traffic growth. So, the ratio there is not that far off of what we would try to get to in the past. But as we move through the year, a piece of it will have to do with what happens on the top line, but if traffic remains healthy, we continue to grow. I would expect you will continue to see some labor hour growth, not necessarily at that rate. If you think about how we talked about the business over the course of 2022, on the calls, we would say hey, our staffing has gotten better, but there are still some pockets of opportunity. And a quarter away later we would say those pockets have become smaller. So, we still have to lap that this year with what we think are getting to be some very strong staffing levels. But the year-over-year comparisons will result in some labor hour growth, again, assuming the business continues to move in the right direction. But Q1 should absolutely be the highest point for the year.
Jim Sanderson: Alright. Thank you for that. And just a quick follow-up question on pricing, I think you have outlined how – it looks to me as if pricing will be pretty much mid single digits until fourth quarter. How does that compare or stack up against your competitors in the stake segment or casual dining? Is the gap with competitors similar? Is it narrowing? Just how you would look at that?
Jerry Morgan: Yes. And purchase on that fourth quarter, we will look at pricing again. I would expect we do something in that October period, which would make that 2.9 maybe, potentially be more in line with those other quarters, but we will see what we do. I would say that we think our pricing, if you look at NAP information I think our pricing is below what others have done. We have done what we felt is right for our business focusing on taking pricing to offset some of the structural inflation that we are feeling. And but keeping the guests at top of mind and making sure they still feel like they are getting a value when they are coming into Texas Roadhouse. Well, I would say that our pricing actions have been below our competitors and think some of the NAP data would confirm that.
Jim Sanderson: Alright. Thank you very much.
Operator: There are no further questions at this time. I will now turn the call back over to Jerry Morgan.
Jerry Morgan: Thank you very much. Appreciate you all being with us and I just want to close and thanking all of roadie nation out there. As we celebrated our 30 year anniversary and the tremendous success that we have had, it’s because of each and every one of you committed to legendary food and legendary service. Everyone, have a great evening and thank you for your time.
Operator: This concludes today’s conference call. You may now disconnect.